Operator: Welcome to the Atlas Copco Group Q4 2023 Report Presentation. For the first part of the presentation, participants will be in listen-only mode. [Operator Instructions] Now, I will hand the conference over to CFO, Peter Kinnart. Please go ahead.
Peter Kinnart: Thank you, operator. Good morning, good afternoon, good evening, everybody to this quarterly earnings call for the Atlas Copco Group. I'm happy to be here together with Mats Rahmstrom to comment on the results of the quarter, and also to give you some guidance on the upcoming quarter. Before I hand over to Mats, I would like already now like to point out as usual that after this presentation, we will have the Q&A session, and I would like to ask all of the participants to only raise one question at a time in order to make sure that all participants have the opportunity to at least raise one question. Should there be more time after the first question has been raised, we will be happy to come back to you for a second follow-up question. And with that, I hand over to Mats for the start of the earnings call.
Mats Rahmstrom: Thank you so much, Peter, and welcome, everyone. I thought I would mention a couple of words of the starting picture first. We normally write about large industrial compressors and this is what you have in front of you. So, these are the rotary screw oil-free machines and it's been successful in this quarter and in many quarters before. So it's tenor range with VSD. So this is a variable speed compressors and up to 35% savings -- cost savings in energy. And in this case also, we take the excess heat from the compressor, process and use that for the integrated driver as well, which also helps them to save on energy, up to 60%. And this is a typical machine that we sell for food and beverage, pharmaceutical, electronics, semiconductor, textile and paper, for example. So when we talk about large industrial, this is what it could look like. And the sales pitch for our teams around the world is not that difficult. Energy efficiency comes from VSD so it's a cost leadership. And of course, they are also a good pitch for sustainability. It's reliability and uptime, and of course, with connected services, we will also give them more uptime on their machines. So this is one of the successes that I have on compressor side. If I then go to Slide number 2. We mentioned in the heading a mixed demand. And as we could see them, we talked about the activity level between Q3 and Q4, and we could see sequentially a decline as expected. All the orders received year-on-year, SEK 37 billion, so 1% up, so pretty flat. Fantastic by Compressor Technique, 7% up. And once again, it was these large compressors and service that really stands out as a good performance in the quarter. Slight change in Vacuum Technologies. That was minus 5. And there we could see Industrial and science vacuum. And then instead, is being kind of flat. So a little bit changed scenario there. Industrial Technique, up 3%. Strong development for auto in Europe and a weaker development for auto in Asia and a very strong development in general industry accounts. PT minus 11%. There, I must say that it might look like a big number. But last year, we had some unique orders to Ukraine and also that along at the time. So the early ordering for some of the rental companies. And then continued the positive development for service in all our business areas. Record revenues. It's really getting up to speed. There are smaller issues still in operations with components but we are getting close to a normalized situation in terms of lead times. So SEK 45 billion and a 10% growth for the quarter and double-digit growth for Compressor Technique, Industrial Technique and Power Technique and then also Vacuum up 3%. And you can see on the graph, of course, that a sequential decline on orders received. But if you take that back a few years and take away the peaks, of course, it's not bad, but sequentially, it of course, down. If you take a look at Page number 3, that's the confirmation of the numbers that I just mentioned. If you look at the operating profit, it was close to -- it was SEK 9 billion, plus 16% and the margin at 20.2%. I'm also going to mention the adjusted margin, which was up 24% and more than 22.1%, and it was the two things there. You had the long-term incentive program, we re-evaluate the shares or the options, I should say, when the Atlas Copco share price went up, quite a lot. We have a provision. In this case, this is a commercial dispute between us and an old former distributor in the Middle East. We canceled this distributor five years ago, and this is a 30-year-old contract. And we have taken a provision for this, and we believe this would be the worst case. Also very, very strong cash flow in the quarter. If we go to Slide number 4, you have the full year results and it can easily be summarized by a lot of records down. So record orders, SEK 170 billion, plus 8%, record revenues, SEK 172 billion at 22% up, and record operating profit at SEK 37 billion, up 23% at the margin at 21.5% and adjusted mainly for those two things, LTI and the provision we took at 22.1 and also record cash flow. We did 17 acquisitions. I think two of them a lot of roll-ups in CT, but a couple of them for Peter that I thought was extra interesting, that was the NPE and Sykes. That really takes us into a new growth platform with the dewatering pumps, and it's good for two divisions, both the specialty rental and also the flow division. So very interesting for us, and it's been a good start for those new acquisitions as well. And the Board of Directors then proposes the dividend increase to SEK 280, that's up 22% to be paid in two installments, one in April and one in October. We can take a look at Slide number 5. And that's still on the full year and you have the operating margin then with an increase of 23% at SEK 37 billion and then the adjusted at 22.1. I think the last three years' development, we always said that we would benchmark with 2019 before COVID, so we shouldn't fool ourselves, but there was a slight decrease in 2020, but then rapid development for the last three years. If you take a look at Slide number 6, we will have the geographical map and the teal color, the darker color is the share, the middle light grayish is the year and the yellow box is the quarter. Starting in Asia, you can see that, that's 37% of our business and that also include Oceania. And why I mentioned that is, of course, with some of these interesting acquisitions have been done by PT in Oceania. And it's becoming quite an interesting market for us. And PT was also very, very strong and specifically the new pump business is doing really well in Asia. Industrial Technique, as I mentioned earlier, a softer [indiscernible] and they've been debated a little bit capacity or not, but we normally also see somewhat of a slower business in China in Q4 versus Q1. And VT was down both in Industrial levels. Flattish CT business. And I must say that this seems like bigger operations with bigger ambition with national profile is still significantly better than smaller businesses where they are very cautious with new investments. If we then go to Middle East, Africa, very strong performance for the year, 17%, 11% strong finish as well, and it's mainly a compressor region, and they also had a very strong Q4. Then if you go to South America, you can see 11% for the year, 17% for finishing in the Q4, double-digit growth in all our business areas with exceptional ones. And what's been performing here is the energy transformation. We also see strong business in agriculture. So coming to Americas. One reflection is that Mexico is doing very well. I said it's onshoring, but it's close onshoring, you could say, I guess. CT stands out a very strong business, both in battery and solar, liquid natural gas, also summed very well. and more flattish development from IT and PT. And you can see what we also mentioned that here 27% of our business is in Europe with a growth rate of 3% coming in the lower range and also a weaker finish of the year with minus 6. We go to Slide number 7. And there, you can see the organic growth rates over a number of years. And you can see then that was a little bit uptick at 1% for the quarter year-on-year. If you go to Slide 8, you can see on orders received and revenues that get the structure change. The acquired businesses helps us with the capital percentages. Currency is now pretty flat, organic plus 1 for orders received a plus 10 for revenues. Then go to Slide number 9. Well, Compressor Technique, as I said, a fantastic performance for the year, but also a very, very strong finish standard, 7% growth. Power Technique, although down, there was in the beginning of the year added tract to the portfolio of industrial pumps. So they are almost equally in size then to Industrial Technique, and Industrial Technique was slightly positive and Vacuum Technique then slightly negative, but more flattish in semi and saw more of a decline in Industrial and science. You go to Slide 10, which is the Compressor business. Orders received at SEK 17 billion, up 7%, especially then the larger size of compressors that we have seen, seems that they are more firm in their decision-making when it comes to strategic long-term business and somewhat lower demand for gas and process year-on-year. Of course, that was a fantastic demand last year. and solid continued growth for service. They are very good at promoting service, helping customers with uptime and gaining ground every quarter. Record revenues, 15% organic and SEK 20 billion, and up 15% as said. And I think a fantastic operating margin at 24.8. I also like to highlight the innovation there. If you follow us closely, you can see that quarter after quarter, we present new products for the clean tech segments. And in this case, the compressor that fits into the carbon capture system. So another piece of equipment that will be promoted and is promoted now when we see more and more carbon capture applications. We talk about air compressors normally. I think we need to change that a little bit motor as a gas because when we see when we compress today, of course, it's air but it's also oxygen, its nitrogen, its hydrogen, it's carbon and many other gases, and a lot of them linked into the new clean technology. So it's much broader than just compressing air these days. Vacuum Technology, Slide 11. So orders, you can look at the graph and of course, you can see that it's quite a sharp decline. On the other side, the SEK 8 billion is not bad orders received historically. So, it's on a good level where we should make good money, minus 5%. And here, we see a little bit of change. And we are ready for the uptick in semiconductor when it will come. It's not here and now, as you understand. We do not see a lot of indication that it would change dramatically in the coming quarter. We see, although that there is a lot of construction going on in the industry. But this is also a lot of delays or pushouts on these designs on new plants. And we have not seen much of the U.S. feedback in our order books just yet. So we are ready. It's flattening out and we have a bunch of new products to introduce to that segment as well. They continue to push out products, a record revenue, up 3% at SEK 11 billion and operating margin at 21.3. So in the sequence, what will happen, of course, is that when there was a peak of utilization, we could see it up to 95% in semi. We think that the investment point is somewhere around 85%. And if we look at some of our customers, they are pushing out approximately utilization of 75%. So utilization, price and then CapEx. If you go to Slide number 12. You have Industrial Technique continue to grow at 3%, SEK 6.4 billion. I mentioned it earlier, auto in Asia was weaker at the same time the Europe was a little bit stronger but was stand out a little bit as the general industry business, off-highway, aerospace and vision system. And also here, we had a positive development of service. Record revenues at 11%, up SEK 7.4 billion and record operating profit with a margin at 21.4. So product that we're introducing that I think is replacing then this is for the car industry with auto the industry. It's from the ISA portfolio, a new product, it's paint inspection instead of doing it manually, you can actually use this. It's a robot. As you can see in our system is the black box there. and then it can scan and actually do a much better job than a human being and identify possible things that they need to correct. I think it's quite an interesting product. And last of the business side on Page 13 is Power Technique. They had a tough -- a little bit tougher comparison but orders declined 11% and SEK 5.2 billion. Equipment was down and specialty rental continue to do really, really well. And there we have also broadened the portfolio used to be oil-free air. We do steam, we do pump, we do generators. We do energy storage. So it's quite a larger portfolio but I should highlight that everything we do is special. So we help the customer to install and engineer some of these products and continued service increase. Revenue increase of 10% and SEK 6.9 billion and continued strong operating profit for PT at 19.1. And here, other product in this tech portfolio for a sustainable environment. This is the one of the bigger micro grids that you can have on the construction side, for example. And then we come to Slide 14, which is the profit and loss, and then you can see the EBITA then where we take away the intangibles and then the EBIT at the report at 20.2. And then you have the adjustment that we already mentioned. Why don't I hand over to you, Peter?
Peter Kinnart: Thank you, Mats. Then continuing on the same page, 14, you see the net financial items, which are slightly higher than last year and not really material, but basically due to higher interest costs during the quarter compared to the same quarter last year. And then a profit before tax of SEK 8.8 billion and an income tax expense of SEK 2.1 billion, which corresponds to an effective tax rate of 23.2%. This is slightly up and has mostly to do with the fact that we are selling more in geographies with higher nominal tax rates, also territories where there are holding taxes on dividends. And as a result of that, we see a higher weighted nominal tax rate and therefore, also a higher effective tax rate. Finally, also the fact that the corporate income tax in the U.K. has increased to 23.5% this year, is also a contributing factor to the higher tax cost that we need to take into account. For next year, we expect that the effective tax rate will continue to increase based again on the same factors. First of all, the weighted nominal tax rate going up due to the growth in those countries where the nominal tax rates tend to be higher to start with, and in some markets, also the higher -- the fact that we are exposed to withholding tax on the dividends and the continued increase of the corporate income tax rate in some other territories, including, for example, Ireland due to the European regulations to have the minimum 15% tax in the European territory. After tax, that gives us a profit for the period of SEK 6.8 billion, and that leads them to basic earnings per share for the quarter of SEK 1.39 and a return on capital employed of 30%, very close to the return on capital equity of 32%. With that, I move to Slide number 15, where we see the profit bridge for the fourth quarter. And besides what was already mentioned on the LTI programs and the provision we have taken for this commercial dispute, we also have a slight negative impact from acquisitions, slightly dilutive, even though they are generating positive profitability and at the same time, also a slight negative impact from currency. While I think the very positive news is a very strong drop-through of 48.6% from volume price mix and others, which is, of course, very good, partly -- mostly because of increased organic revenues. But -- of course, we also need to take into consideration that we are comparing to a weaker quarter 4 last year, where we suffered from some higher costs in particularly Industrial Technique and Vacuum Technique, excuse me. When it comes to the currency, currently slightly negative, for the next quarter, we are assuming based on the current exchange rates that it would be probably, again, slightly negative in a similar dimension. If I then move on to Slide number 16. I will just briefly walk you through the operating profit bridges for the respective business areas. We can say that basically, the drop-through, I think, is very solid for all four business areas, and that is for all four of them based on the increased organic revenues. I would say that only for Vacuum Technique and Industrial Technique, as I already mentioned in the general comment, we also need to take into consideration that the drop-through is not only so good because of the good organic revenue development, but also because of the fact that we are comparing to a softer Q4 2022, as you will remember, where we took a number of higher costs than usual in that particular quarter. But otherwise, I think even without those considerations, I think from our side, I think we are very pleased to see this very solid drop-through across all the business areas. If I then move on to the next Slide number 17. Just a few brief comments on the balance sheet. I don't think there is a lot of drama in this balance sheet to be detected from my perspective. I think there is, of course, also a slight impact from the currency development from Q3 to Q4 resulting in lower values. But I think otherwise, we see the rental equipment and the property, plant and equipment on a fairly high level, resulting from the investments we have done in 2023. In our rental fleet, we have held back a little bit during the COVID period and the difficult times. But of course, now we have a bit of a catch-up effect going on the rental fleet. And also, we have communicated already many times about all the investments we are doing in expanding capacity mostly in Vacuum Technique, but also in Compressor Technique, for example. And then the last comment I would like to make on the balance sheet here is the positive development on our inventories. Due to the supply chain constraints, of course, we have commented earlier that we have been suffering a little bit from inflated inventory numbers, partly due to the fact that for components in stock in order to be able to produce the units -- when those missing components would finally arrive and partly also because in more remote territories, the customer centers tend to build up more stock of sales products in order to be able to satisfy their customers with reasonable delivery times. Now that supply chains have normalized much more and the problems are much more limited than they used to be a year ago, we have been working quite hard with the different business areas on trying to reduce those inventory levels. And at least this quarter, we see some first signs of development into a positive direction. And if we look at it from a relative perspective compared to sales, we also see that our short-term values are crossing the long-term terms. So that I think is very positive news to highlight. If I then go to Slide number 18 to comment briefly on the cash flow. First of all, a very strong operating cash surplus of SEK 12 billion for the year, SEK 46 billion in total. Net financial items that are not so material in the bigger scheme of things. Then I already comment on taxes being higher due to, of course, higher profitability levels on the one hand in absolute terms. But at the same time, also due to the higher relative nominal tax -- weighted nominal tax rate. The change in working capital, again here, a positive topic to mention, the plus SEK 558 million. I think the first time since a very long time that we see a positive value contributing to the cash flow rather than eating into the cash flow. So I think that is, again, a very positive sign. Let's hope that we are able to continue these measures further in Q1 and that we continue to see a positive development. I already mentioned the increase of the rental equipment which is also clearly visible here and also the investments of property and plant, which are on a similar level as last year. But overall, historically, on a relatively higher level due to all the investments we have been making and we are continuing implement. And then as a result of all of the above, we end up with an operating cash flow of SEK 8.8 billion for the quarter, a record for the year of SEK 23.2 billion, of which we spent about SEK 4.3 billion on the 17 acquisitions that Mats referred to earlier in the presentation. Then on Slide number 19, just to comment briefly on the dividend. As already mentioned, based on the development of our profitability, we ended up with earnings per share of SEK 5.76 for the year. And considering the fact that we tend to aim to have a 50% payout ratio to our shareholders, the Board of Directors has agreed to propose to the Annual General Meeting of Shareholders a dividend for the year of 2023 of SEK 2.80 per share, as already indicated payable in two equal installments, the first time in April -- end of April 26 and the second time on October, record date October 30. And with that, we are almost at the end, I just need to hand back to Mats to comment on our forward-looking statements.
Mats Rahmstrom : I mean it's not getting easier if you look into the future. You can see changing market conditions due to conflict, geopolitical scenarios. And of course, as everyone knows, there's a lot of elections that could change a number of things as well. But we will do our best. And so this is the underlying activity level among our customer segments between Q4 and Q1. It is not including seasonality. So then if you believe that Q4 is normally a bit weaker than Q1, for example, then that is not including in the statement. And then we expect that the customer activity will remain on the current level as we see it. And we don't see any major reasons at this point then we have the negatives with the conflicts around the world. We, of course, expect transport cost to slightly go up. It's a smaller cost for us, but it's still there, not so much in this quarter, but we expect a little bit more next quarter. We see the trade barriers as well. At the same time, we see semi being flat, but we see more construction, more activity there, which we find positive, although we don't see that in orders received just yet. And then as we try to promote to you, and you will see me more on the Capital Markets Day that our product portfolio generates a lot of activity among our customers with sustainability, with efficiency, and then keep pushing more launches on new products. So that also generates customer activity. Maybe just to highlight that last year in Q1, we had exceptional orders from gas and process. And also, we had long lead times in Power Technique. So those, if you look at those bars for Q1, they were very exceptional for that, and that might be difficult to meet some of those going forward. And that's why we stay then on the current levels. So we don't see any exceptionally positive or we don't see anything exceptionally negative going forward at this point among our customer segments. If you take one more slide, it's May 16. That's a good date to be in on-track. This is when we have the Capital Markets Day, and you will have the opportunity to get to know our new CEO as well, Vagner Rego on his home turf, and we will be focusing on CT, Compressor Technique and Power Technique and also Daniel [indiscernible] that it's almost sold out already, and we have 100 seats. So you better sign up as soon as possible if you like to join.
Peter Kinnart: Thank you, Mats. With that, we have come to the end of the presentation and our comments to the quarterly results for Q4 2023. With this, I would like to hand back to the operator. But before we do that, I would like to once again repeat that as the Q&A session starts, please stick to asking only one question at a time in order to make sure that all participants have an opportunity to raise their burning questions. First, when there's time, there's a second round for more follow-up questions, if you like. Thank you. With that, back to the operator.
Operator: [Operator Instructions] The next question comes from Daniela Costa from Goldman Sachs.
Daniela Costa: I'll stick to one. So as you've commented you're very happy with the organic drop-through you've seen. It's been increasing also over recent quarters. Just wanted to check. As we look forward, do you see this as the normalized level? Or is it -- do you think there are some elements we need to consider that might not mean this is a continuous level from here?
Peter Kinnart: Thank you, Daniela, for your question. I would say, of course, the drop-through is always varying a bit from quarter-to-quarter. It also depends, as you could see also this quarter very much from the comparison in this case, Q4 for ITBA and VTBA was a bit weaker a year ago. And of course, that also impacts the ultimately the drop-through in relative terms. Of course, I think there’s nothing on the radar that would indicate that we would not be able to -- with good revenue development, continue to see a good drop-through. But whether it will be exactly on this high level is, of course, hard to assess depending also on the comparison for example, Q1 2023, we’ll need to see how that turns out. But of course, on average, over a longer period of time, when we look back, then we have seen drop-throughs of 30%, 35% roughly, and that is, of course, what we are aiming for to achieve. We will see, of course, in Q1, if we are able with the development of the economy to repeat these very good drop-throughs.
Operator: The next question comes from Klas Bergelind from Citi.
Klas Bergelind : Mats, Klas from Citi. So my question is on Vacuum Technique. There is a bigger decline than I thought in equipment in semis when I adjust for the early cancellation that we had last year, if I compare versus the gross starting point. We know that you will likely see recovery later than some of your peers, but I'm interested to hear, Mats, if this is driven by earlier strong growth in China coming off where you have a strong position, whether there perhaps has been some got a pull forward of demand in China that you now start to see some slowdown. I'm interested in the regional development, that would be very useful.
Mats Rahmstrom: Yes. I think with some of the limitations that we've seen in the past quarters, I think the Chinese have tried to order as much as they could. It was softer in this quarter, as we said in the report, if that [indiscernible] that they see other limitations outside our own to get to the smaller notes, I'm not sure. On the other side, we know that I'm sure that bigger notes that they normally work in is 80%, 85% of what they do in China anyway. So I don't have a full conclusion on that. And I cannot fully follow your -- accept that it was strong in this time in North America, a little bit softer, but it was kind of flattish, and we have seen a flat scenario over a number of months now. So, no specific that stands out at this point.
Klas Bergelind : What I was trying to say Mats is, obviously, you had SEK 1 billion cancellation last year at the group level and majority of that was in VT. So if I sort of look from an underlying point of view, it looks like year-over-year, you're coming down quite a bit. So that was my point. And I was wondering what was going on in China?
Mats Rahmstrom : You're right about the cancellations. We saw big cancellations in the beginning of the year in Q1, specifically, and then those have declined. Well, maybe we need to look into that sense, but it's a flat scenario right now, strong in North America at this time.
Peter Kinnart: Thank you, Klas. Sorry, maybe also contributing to that was the fact that Scientific and Industrial vacuum was weakening in the fourth quarter in general, and that was also something, especially in China, which was notable.
Operator: The next question comes from Andrew Wilson from JPMorgan.
Andrew Wilson: I just wanted to ask on compressor. And just I think in the quarter, if I'm not wrong, the industrial compressors were stronger, and you mentioned kind of particularly in large compressors, but also small and medium-sized compressors were still up year-on-year. And then process was weaker. I'm just trying to understand how much of that is about comps? And how much of it is kind of underlying market conditions? And how much do you feel is kind of new products winning some share? Because I guess intuitively, I would have expected maybe the industrial markets to be slowing and process being led cycle to still be quite strong and it's almost to the way around. So I'm just trying to get a feel for how much you think this is a comment on the underlying market and how much is kind of not necessarily Atlas specific, but specific in terms of some of the trends we've seen in the quarter?
Mats Rahmstrom : I can at least start and Peter can follow. It is not a weak market for gas and process, it's just that the comparison as you indicated, that's why it's challenging. On the other side, we have broadened the range of products. So it's chemical and it's petrochem gas posing a liquid natural gas. So there's a lot of different applications. But these projects are normally quite big. So one or two orders can swing one quarter to the other. But in general, we see that there is a strong demand for this type of products in general. And then we're happy to see that Industrial was positive, although that the bigger was even more positive then. And then we have, at least, is that the bigger machines that I showed on the first picture is normally goes into companies with a long-term strategic view, and they continue with their strategic plan. So if they're going to build a battery factory or whatever it might be, they continue with their plans anyway. And smaller that are sub-suppliers, they don't have the financial strength. And then, of course, they tighten up their CapEx much quicker, and that's the small industrial compressors. So -- and this is what we have seen year after year after year that the long-term strategic business continues, and of course, there is not the same self-confidence with the smaller players, so then it’s easier for them to pull back on investments. But of course, it will come back as well.
Operator: The next question comes from Max Yates from Morgan Stanley.
Max Yates: Look, I guess my question is just a little bit around the guidance. And I kind of understand that, look, we're at SEK 37 billion of orders. You've said that sort of seasonally, they probably get a bit better and then they're going to be below the sort of SEK 48 billion that we did this time or in Q1 last year. So obviously, that's quite a big range where we're sort of talking about SEK 37 billion to SEK 48 billion. So I guess, is there any sense of kind of when you talk about flat demand, what do you see as kind of normal seasonality for this business? Would normal seasonality be going back to 40%? Would it be more like 44%? Obviously, given the kind of exceptional gas and process environment we've seen, obviously, exceptional Power Technique environment you saw last year, it probably isn't last year, but is there any way you can help us sort of how to think about it within that range and where you see the normal seasonality in your business and any kind of magnitude on how we should think about it?
Mats Rahmstrom: I think you, Max to have followed us for so long, you know that we don't guide on numbers. We try to guide on the activity, the level as we see it right now, and that's kind of difficult enough. But yes, we do see that normally Q1 is stronger. And the main driver over many years has, of course, been that, that's the season for the Power Technique business. On the other side, now then when the industrial pumps is in Power Technique, we will over time see less and less seasonality from Power Technique as well. The other thing that we have seen, if you follow our report is that normally, we see a softer Asia, China in Q4, and we don't know how big we recovered, but many years we have at least seen a stronger China in Q1, if that's a new budget or what is the reason for that, we have not speculated in. But normally, we see somewhat of a stronger Q1 than we see Q4 push out a lot of products, closing a lot of projects in Q4, and then you get a little bit more orders received in Q1, but we don't have a number for.
Max Yates : I mean without asking another question, I mean on Power Technique, we've heard quite a lot from companies reporting in the last couple of days about quite a lot of excess inventory in construction equipment, sort of rental companies not reinvesting, Sandvik talked about some smaller ones struggling. How do you see the sort of typical buying season and typical kind of purchasing season in construction equipment this year versus others? Do you see similar dynamics in that market?
Mats Rahmstrom : But we -- considering that most suppliers quite some time have very, very long lead time. So a lot of ordering happened quite early. And I think we normalized lead times right now. And you’re absolutely right. We see that there is more stock and inventory at some of the rental companies, some of the dealers. So it is more challenging as we have discussed before. We do not see that is a complete stop in any way. So that’s what we see at this point. And I think the determining factor will be in Q1, what will happen here and see how many of these quotes will actually turn into orders. So yes, we have to wait and see.
Operator: The next question comes from John Kim from Deutsche Bank.
John Kim : This is John from Deutsche Bank. If we could head back to VT for a second, could you give us a sense of the kind of end market or customer mix in either your backlog or your index, whatever you're comfortable with between the logic memory and foundry? I'm just trying to get a sense of how VT compares this year versus maybe the industry overall in terms of growth and dynamics [indiscernible].
Mats Rahmstrom : I don't have those details on top of my head, it might be with the semi division, but I don't have it for a Q report. I'm looking at Peter, if you can help in any way.
Peter Kinnart: No, I think I can only say that from an application point of view, we are pretty agnostic if we talk about semi, whether it’s in whichever segment within semi ultimately goes the different types of equipment that we have are offered to all different customers. So for us, that doesn’t really make a big -- doesn’t have a very big influence overall, I would say. So from that point of view, I don’t think we can guide you specifically because as I said for us it doesn’t really make a huge difference, whether one or the other segment is performing strongly. We will get the orders from the segment that are there for all the products that we have.
Operator: The next question comes from Sebastian Kuenne from RBC Capital.
Sebastian Kuenne: My question relates to the IT division. I was wondering if you could give us a bit more color on the exposure that you have in automotive. And what activity you see, especially from the electric car and battery assembly. If there's a slowdown or if you should be aware that the tender activity is slowing because there was a big wave of electric car assembly lines being built and now, we have to fill those capacities before we go into the next stage. Maybe you can give us a bit more color there?
Mats Rahmstrom : And more than Industrial Techniques business, more than 50% of the business is related to the auto sector, that's car manufacturing, truck manufacturers and Tier 1s seat manufacturer, for example. Over the last few years, the big CapEx spend has been in electric vehicles. We have seen that the Chinese has been most active, also Tesla, of course, from Americas. And now we see that a lot of the battery makers are, of course, the full value chain you see in China, but we also see that more and more of the European open up their own battery factories to do at least assembly and the packaging. So we have seen more activity than in Europe in this quarter, I would say, catching up maybe technology wise. And I think also that we will see that in Americas. And of course, that there's so many Chinese EV manufacturers. So at least myself would expect the consolidation. But I think it was in this quarter that BYD became a bigger player than Tesla. And I think the main problem right now is that only 13%, 15% of the car solar is EV and it's up plus consumer then to drive the market a little bit. And I think it's a little bit on hold, as you said. And I think everyone is re-evaluating the investment, how it should look like and how the portfolio should, but I don’t think it will stop, and I don’t think personally that it will stop, I think it’s a transformation that is needed for the environment. So we are ready and we have equipment for traditional technologies, the combustion engine or EVs. And we think that for us, it’s beneficial that the market transforming to EVs, where we have a number of applications on the batteries which is the new drivetrain, so to say, and also on the body. So for us, stronger Europe, higher expectation on Americas and a little bit softer than China, as we have seen it in this quarter.
Operator: The next question comes from James Moore from Redburn Atlantic.
James Moore: Mats, Peter, can you hear me?
Mats Rahmstrom : We can hear you?
James Moore: Just a question on compressor and the order environment, if I could. I mean, you've just done SEK 17 billion, and we've had three quarters of over SEK 20 billion, averaging SEK 21 billion. I guess do you see this as a more normal quarter after three quarters of exceptional or the other way around? And I'm trying to think about the energy transition, the move towards hydrogen, carbon capture, where there is a secular story out there, which would drive orders upwardly over time versus the cyclical aspect of the macro and really how you see those two things playing out and where you think we are in that and whether the mix of the business is changing?
Mats Rahmstrom Atlas : I can start. I know that a few quarters ago, Daniel tried to investigate a little bit for the group at least. And of course, part of -- a big part of the group for the sustainable application, as you say, linked to CT. And then it was around 10%, 12%, that was this new type of technologies that we were linked to. We don't have an updated measure. It's not a normal measure for us. But for sure, when I listen to what happens in gas and process, what happens in oil-free, some of the segments. I mean, the battery manufacturer, for example, have been a huge impact, a positive impact for us in China when it comes to the oil-free machines. So it is shifting and a little bit. That's why I made a point in the beginning as well that independently of what gas will win if it's hydrogen or liquid natural gas, any gas that needs to be compressed, moved somewhere and used then, of course, we will have products for these segments. I'm not so sure I give you a good answer, but that's a little bit -- well, we see it. I don't know if you could add something on the normal. I don't know if there is a normal...
Peter Kinnart: I wouldn't call this quarter being more normal than other quarters. What is true is that gas process has been a bit softer year-on-year. But that again has more to do with the nature of the business. The big-ticket items that are part of the portfolio and the different types of applications that we are offering to much more than we used to a couple of years ago. And as just like Q1 2023 was a big surprise, you could say, in terms of the amount of orders that dropped at more or less at the same day. You could also say that we just happen to have fewer orders out of the quotation portfolio that we have out there in Q4. But I wouldn't say that this is automatically a normalized quarter compared to others. I think we have also indicated previously that we have seen a bit of a trend on the industrial compressor side, that the large demand for the large units or the orders for the large units continue on a steadier pace, while for the small medium enterprises, the appetite to decide in security with small, medium enterprise owners is a bit higher. And given then also the shorter lead times. And of course, also when we talk about distribution, having some higher stock levels, for example, we see a bit of a softer development on the small, medium size currently, while the large units continue based on the fact that decisions have already been taken in the boardrooms, do we make these investments. There’s longer discussions about technical specs and about the installations. And ultimately, of course, the delivery times also are, by definition, larger for the larger equipment. And I think that is what leads them to the current development, both on the industrial compressor side as well on the gas and process side.
Operator: The next question comes from Jonathan Day from HSBC. Jonathan Day?
Jonathan Day: I was wondering if you could talk a little bit more about what you're seeing in China. I know you've touched a little bit about it in sort of VT and IT, but just in the sort of other divisions as well in terms of the sort of trajectory that you're seeing there when you saw any more sort of kind of a turnaround activity levels, that would be really useful.
Mats Rahmstrom : Of course, you see -- you already had an update on CT, but that was the industrial compressors grew a little bit. We could, of course, vacuum that stood out.
Peter Kinnart: Vacuum Technique was, I would say, overall, a bit negative, mostly from semi, but also due to the fact that we saw this development now gradually, which we, I think, also commented on earlier that also in the scientific base as well as in the industrial vacuum, we have also seen a stronger decline in the order development than we have seen in previous quarters, and that has been particularly also the case in China. For CT, we indicate that industrial compressors are still up but we see a bit of a softer market overall. But again, here, the same comment with regard to small, medium enterprises versus the larger types of equipment. GAAP was also a little bit weaker in Asia overall, but we still believe that the GAAP orders are strong, but just slightly lower for the moment.
Mats Rahmstrom : Industrial Technique, as I mentioned a couple of times, I mean this has been the booming market for EVs. And at the time, we see that it's being more flat and more difficult to take decisions. And of course, you can always expect that there might be some more capacity in the industry. And in Power Technique, it's not their strength in China, but they do well with the portable bigger machines as well. What's outstanding and what they do really well is on the industrial pumps. I cannot judge the market. I can just see that we do really well, and I know that PT has more than double-digit growth in Asia at this point.
Peter Kinnart: Okay. Thank you, Mats, for answering that final question. We are at the end of the hour for this earnings call. I would like to thank all the participants for taking part in this call and to provide us with your questions. Should there be any more questions, our IR department will be more than happy to help you and try to guide you on whatever question you might have. With that, I would like to close the call for today, and thank you all for participating. Thank you.
Mats Rahmstrom: Thank you so much